Dan Olley: Okay. Well, good morning, and welcome to Hargreaves Lansdown's 2023 Full Year Results. Thank you so much for taking the time to be with us today, and I'm delighted to be here speaking to you at my first Investor presentation as Chief Executive. Before I start, let me quickly walk you through what we're going to be covering today. It's only been a matter of weeks since I started as CEO, but I thought it might be helpful, if I explain why I'm so delighted to have joined the organization. Well, I think there's a great opportunity to link our purpose with what I'm hearing from clients and people around the U.K. around saving and investing, and why that will drive purpose-fueled growth at HL. I'll then give a quick summary of my initial areas of focus as I onboard over the next six months before handing to Amy Stirling, our CFO, who I think you all know, who will take us through last year's financial results. We will then be joined by Ruchir Rodrigues, our Chief Client and Commercial Officer, who will talk about our growth strategy pillar. I'll then give a quick summary, and we'll move on to Q&A. So, let me first tell you why I'm so delighted to be at Hargreaves Lansdown. Basically, it's all down to the opportunity, but let me add a little more color to that. As someone who has spent the last 30 years leading organizations that use data, and advanced technology to solve meaningful client problems, I'm truly excited about how HL can help address the problems I'm hearing from people around saving and investing. Coming from a digital background, I've spent a significant proportion of my life living between the U.S. and the U.K. As my American wife will tell you, they are two countries separated by a common language, but from my experience with friends, with colleagues, with family on both sides of the Atlantic, they are also two countries separated by attitudes to saving and investing. In the U.S., everyone I know invests. They're engaged with it. It's important, because they know it's vital, whether it's for their kid's college fund, their 401(k) the healthcare top-ups, they are engaged, or at least interested investors. What has amazed me since I first joined HL is how many people I know in the U.K. are the complete opposite. Putting money into investments can be bottom of the list. I repeatedly hear that it's daunting, a lot of people lack the experience, the knowledge, the time, or perhaps all three. Even for those that are engaged, the vast array of terminology, and the number of options available can be just sheerly - sheerly overwhelming where do I start, I often hear. As I continue to speak to people, it's definitely only a minority that say, yes, I'm a confident investor. And then that's only one of the problems, even once you've crossed that knowledge divide, you know what you want to do. I'm hearing the execution, finding the right investments can be more – challenging, and definitely not frictionless. All of this makes the investment decision really easy. I'm going to do it tomorrow, and I've - spoken to way too many people, they have been saying I'll do it tomorrow for many years. The current macroeconomic environment is only exacerbating this issue, putting more cause on people's money now, almost certainly increasing the levels of cash people will need in the future to secure their financial health. If we can solve or even put a minor dent in these problems, we can have a meaningful impact on people's lives across the U.K. That's what motivates and excites me, and why I wanted to join HL. So why is HL, so well placed to solve these or at least help these problems? It comes down fundamentally to three things; helping clients build their confidence, making it easy to execute, and ensuring we have everything a client wants in one place. Let me expand a little on these points. Firstly, we can and already do help our clients build their confidence, and overcome inertia. Providing the best information to clients has always been an important part of the HL story right back to when Peter and Stephen founded the organization. We will continue to build on this strong heritage, to help our clients understand the options that are available, and which are right for them. What's different now is we can leverage advanced technology to actively monitor the market. Combine this with our deep understanding of every client as an individual, and provide timely and highly relevant content, and tools to help them select the right opportunity for them. This isn't just an aspiration, we're already demonstrating the power of this combination. As Ruchir will explain in more detail later, in a recent test of this approach, we targeted clients who might be interested in short-term goals. We provided clear bite-size educational information to them, and it resulted in over £400 million of net flows in matter of weeks, great for our clients, good for us. Secondly, we will strive - we will strive to make it easy to execute through whichever channel our clients want to use, from our website and our highly-rated app, through to our help desk or by asking an adviser, we can be there for our clients. Obviously, there may be times when we want to intentionally add a little friction, for example, when clients are going to complex products. But even there, our deep understanding of our clients coupled with our digital platform will help us keep this friction to an absolute minimum. Again, this is not just an aspiration, we've been investing in our app functionality, and now see over 60% of our digital journeys start on our app. We're also investing to remove the friction that our clients tell us they just like the most from streamlining our web login, to increasing personalization, to new features like Pay by Bank. We are working to improve every interaction. There is still plenty to do, but we are well on our way. Finally, we know our clients have varying levels of knowledge, varying appetites for what left to risk or what they want to invest in, and different financial outcomes. We will continue to evolve our range of solutions on the platform to ensure we have what's right for every client. So, by helping our clients build their confidence, by making it easy to execute, and having the range that our clients want, we can be the platform of choice for savers and investors. Getting this right is not just good for our clients, it's also been shown time and time again across multiple industries. That really understanding and addressing client needs is the best way to retain existing, and attract new clients; good for our clients, good for us, good for shareholders. Despite the economic headwinds, [Audio Gap] plenty to go after. HL is well-positioned to benefit from this market growth. As I've just outlined, we are focused on solving the problems that are stopping our clients, achieving the best financial outcomes from their savings and investments. The problems that are stopping them from benefiting from the power of compounding by acting today rather than wait until tomorrow. We are also building from strong foundations with over 1.8 million clients and growing, our AUA currently accounts for over 40% of the D2C market. Our clients tell us they like our digital tools, they like our help desk, and they also report a high level of trust in HL. In fact, in the recent Boring Money report, HL continued to be the most trusted industry platform and has the number one NPS compared to our classic competitors. However, we cannot take any of this for granted. We do a lot well, but like anyone, we don't get it all right all of the time. For example, our call wait times over tax year end were simply too long. This is something we have, and we will continue to improve. We must be relentless in our pursuit of the high standards of service, and execution that we expect, and our clients deserve. These are challenging times, but we were in a growing market, and for businesses able to anticipate client needs, and rapidly move to fulfill them, the opportunities for sustainable, and profitable growth are significant. From my experience on the Board and the insights I've gleaned talking to clients, to shareholders, and to colleagues, I have four clear priorities. These are around growing our client and asset growth, increasing our execution pace, driving greater focus on cost, and ensuring we have the right people to be truly future fit. Again, let me drill into these a little more. Firstly, ensuring we're set up for growth. As I've already shared, we are refocusing the teams to obsess on the ClearPoint, pain points our clients are telling us of stopping them saving and investing. We're already testing and learning, on what we can do to help our clients at scale build confidence, and overcome inertia. And as I've outlined with the gilts example, we're already seeing promising results. We will strive to improve every single customer interaction, be that digital or in-person, and ensure we have the right product range to be there for both newly, and highly experienced investors alike. My second priority is around pace of execution. As a Board member, this is always something I've always challenged the teams on, and now in my new role, I believe we can go significantly faster. This is top of my personal priority list. Thirdly, cost discipline is in my DNA. This will be clear to any of you who have looked at my CV, and seen where I gained my experience, continually driving us to be fitter and better as a business, so we can save to then invest more for clients, be that in proposition, be that in our products, or be that in pricing is something I fundamentally believe in. We've already started on this journey and I will continue to drive this over the coming months. Finally, we are ultimately a people organization. We have always had amazing people. We hear from our clients that they are very good and I've seen this personally from my role on the Board. We also have a strong history of nurturing and developing colleagues to give them a long and successful career at HL. This is something I'm passionate to keep. However, as we started using new technologies and building new capabilities, there was also no doubt we needed to inject additional talent. Any rapid people exchange - sorry, any rapid people expansion almost always increases complexity and risk culture change. We were a relatively simple business. So, we will take stock, we will simplify to ensure that HL is a great place to be part of all our colleagues to ensure we have the right talent in the right places focused on the right things, and to ensure that we are lean and future fit. So, by solving real client needs, we can and will drive client and asset growth. Combine this with us better leveraging our operating scale and the opportunity for value creation and sustainable earnings growth is very clear. I look forward to telling you a lot more over the coming months. But with that, please let me hand over to Amy Stirling, who will take you through last year's performance.
Amy Stirling: Thanks, Dan, and morning everyone. Six weeks in but after what feels like a lengthy transition, it's great to be working together with Dan. He brings fresh challenges, energy, and insights, combined with the client-first approach that's most welcome. We have a busy agenda to deliver and based on the pace of activity for the last few weeks, the business is already starting to see and feel a difference. The investment program announced as part of the strategy update enables us to deliver improvement right across all aspects of our business, as well as evolving and expanding our client proposition, this investment enables us to modernize our technology and to address operating challenges that currently require manual processes and controls bringing with it additional resource and costs. So, it's great to be well underway with delivery to see improvements starting to come through and at the same time to be making tangible progress with our client value proposition, which Ruchir will talk through shortly. But first up then, how we performed against our KPIs for 2023. Despite the challenging backdrop and it's negative impact on investor confidence, we've delivered a pretty robust performance attracting £4.8 billion of net new business and a further 67,000 net new clients, taking total AUA and active clients to a £134 billion and 1.8 million respectively. And we were pleased to see stable client retention rates throughout the year. In terms of client NPS, whilst our help desk Net Promoter Score performed well in the first half, it was impacted by longer call-in-queue times at tax year-end. Despite implementing technology improvements and adding more service capability, our performance was below the standard we and our clients expect of us and as Dan has covered this is a significant area of focus for us in the year ahead. Against a very challenging inflationary backdrop, we've delivered spend below our half-year guidance with underlying costs of £314.6 million, which I'll cover in more detail shortly. Colleague engagement has improved this year, reflecting our focus on colleague financial resilience and well-being, but as Dan has flagged, we've got a long way to go to be where we want to be here. We've made good progress on ESG, gender and ethnicity representation at senior levels in the business have improved, and for our HL managed funds, we're reporting Scope 3 Financed Emissions for the first time, and have launched new ESG investment and stewardship and engagement policies. Our risk and controls performance is assessed as improved by the Board Risk Committee as we make progress on modernizing our technology and importantly, have completed our Consumer Duty assessment. Our longstanding focus on the client leads to good outcomes being delivered across all dimensions including price and value with only minor enhancements identified. And last, but by no means least, our statutory profit before tax increased 50% to £402.7 million. So, overall a year of progress across all our metrics, but still much to be delivered. So, looking at financial performance then in more detail, revenue for the full year was £735 million, up 26% year-on-year and delivering revenue margin of 57 basis points for the full year. Whilst NIM was a significant driver of increase, it's encouraging to see all key revenue lines up H2 on H1, which I'll cover shortly. Underlying costs were up 10.5%, reflecting a mix of drivers, trading volumes were lower year-on-year and we've clearly felt the impact of inflation, but cost savings delivered in year have as planned more than funded our investment in capability. Total statutory cost of £351 million includes £36 million of strategic OpEx spend, statutory EPS is up 50% at 68.2p, and total dividend of 41.5p up 4.5% for the full year. These results demonstrate the resilience of this business and represent a robust performance against a challenging backdrop. So, let's look at the improving revenue position, up 10% H2 on H1, with growth across all key asset classes. H2 saw a 5% increase in average AUA reflecting both more positive market growth and decent net new business. By asset class, funds revenue and HL Funds revenue both saw very modest improvement H2 over H1 with similar trends in AUA growth. HL Funds also benefited from our new fund launches, which Ruchir will pick up later. We've seen modest margin compression from both the March LISA and JISA changes and the more competitive pricing on new HL funds as guided. The shares' average daily share trading volume for the second half picked up at 35,000 versus 31,000 in H1, leading to a 10% increase in shares revenue in the second half and a 30 basis point revenue margin for the full year. Revenue on cash continued to improve in the second half despite the level of cash held in investment accounts continuing to come down from the June 2022 peak as flagged at our interims and reported through our Q3 and Q4 trading updates. Whilst we've seen continued base rate increases throughout the year, the positive impact on NIM has been partially offset by our increase in pass-through to clients resulting in NIM coming in at 192 basis points for the full year and 218 basis points for the second half. Active savings generated GP8.7 million of revenue this year with a 29% increase H2 over H1, driven by both the continued step-up in AUA and by margin improvement, up to 15 basis points in H2 as we start to shift our focus towards the profitability of this service, having built meaningful scale. H2 saw a gradual recovery of some of the AUA ground loss in the second half of FY '22 with markets returning to growth, albeit modest this financial year. In terms of net new business, our active savings service providing clients with the ability to access competitive savings rates across multiple banks saw material flow throughout the year contributing between £700 million and £1 billion of quarterly net flow. Platform net new business in the first half was very slow as expected with the step-up in H2 demonstrating that despite the ongoing impact of the cost of living crisis and lower levels of investor confidence, when there was a clear rationale to invest, such as the change in tax landscape this year-end, our ability to generate awareness and provide timely and relevant content to clients generates flow, £900 million of net flow in both Q3 and Q4. And as the U.K.'s largest savings and investments platform, part of our job is having the right mix of solutions for clients to help them achieve their financial objectives. And in the current environment, that is leading to both a preference for and a need for cash. As a result, in addition to the return to growth in AUA, we continue to see asset mix shift as we did in H1 with rising interest rates, making savings an attractive option, particularly for more cautious investors. Over the long-term average cash held in investment accounts has been around 10% to 11% of AUA, albeit within a broad range between 8% and a high of 16% at the height of the pandemic, and was 9.8% at the end of the year. And we expect to see AUA mix shift continue with cash held in investment accounts continuing to moderate downwards albeit within historic ranges as clients use existing funds on the platform to invest, and for certain clients, withdrawing cash to fund their planned and unplanned needs. We recently completed our response to the FCA on Platform cash setting out our considerations and policies on cash management overall, details of our banking partners and diversification approach, the methodology we apply on pass-through, and rationale for different rates between account type and level of balances held. At today's rates, clients holding over £100,000 didn't SIPP Drawdown are receiving 4.55% in line with the easy access rates we are offering through active savings. With clients holding between 10 - below £10,000 cash in their fund and share account, where it can be instantly transferred to active savings if the client is looking for that money to earn a higher rate, earning a minimum of 1.5%. So, as well as offering a diverse range of investment solutions, we're delivering better rates for our clients than many high street banks. With the long-awaited reduction in inflation now starting to come through, expectations for further rate rises continue to moderate, with the yield curve now only pricing in one further rate rise. We have passed over 85% of the benefit of rate rises through to our clients over the last 12 months, and should we see further increases from here, we would expect to do broadly the same. As a result, subject of course, client behavior and the regulatory framework, we see NIM holding in the range of 180 to 200 basis points in the medium term with the range being driven by both the mix of cash held between SIPP and non-SIPP, which drives deposit duration and the overall level of cash held by clients. As and when rates start to come down, we would expect to pass-through rate reductions resulting in our NIM guidance being given for the medium term. So, on to costs; lots of different drivers here to walk you through. Let's start with volume and two contrary trends. Firstly, trading volumes are down year-on-year, but that has been more than offset by the increase in payment costs from active savings flow through the course of the year. Technology spend, as expected, has increased as cloud capability comes on stream and our model shifts towards SaaS, and whilst not pulled out specifically, we have seen inflation through this cost line. But no surprise, inflation has been the biggest driver of costs, predominantly wage, but also energy costs. Our pay award for the year was an average 5%, but we have made further changes to colleague pay. Given the economic backdrop, we've reset Junior colleague's compensation providing a higher level of guaranteed earnings throughout the year and we've seen additional wage inflation in specific functions, addressing both skill scarcity and retention. Cost savings of just over £20 million were delivered in the year in dealing costs were in addition to the reduction in volume mentioned earlier, we have reduced costs by a further £5 million through contract renegotiation, as we start to see the benefit of our investment in procurement capability delivering, and we continued to achieve labor cost savings through the use of the internal teams to deliver on our strategic investment program. Capability costs increase is slowing as teams are building to completion with headcount growth in H2 targeted predominantly in our digital and client functions. And in H2, we've seen the positive benefits of a year-on-year reduction in the FSCS levy, but have also taken a provision for potential VAT moving us to net positive one-offs of around £1 million for the full year. We've continued to invest in the business as planned with our focus this year on building out both our technology foundations and our client proposition, which Ruchir will cover of in more detail. Whilst our progress this year was slower than originally planned, as flagged at the interims, we still expect to remain within the £175 million of strategic spend and £50 million of dual run costs and to deliver at least £55 million of annualized cost savings by FY '26, building on the initial savings delivered in this first full year. Total Strategic Opex Spend this year was £36 million reflecting our slower ramp-up and primarily comprises external staff costs as we use third-party resources to bolster, complement, and upskill our internal capabilities in addition to one-off setup costs of new technology. In addition to the Strategic Opex Spend, our capitalized spend so far across FY '22 and FY '23 has been £20 million in total. And for FY '24, we expect to incur £35 million to £45 million of Strategic Opex and deliver £25 million to £30 million cost savings building on this year's program. Net cash at the end of the year was broadly flat at £503 million generating £19 million of finance income this year as we look to balance our conservative approach to liquidity with generating return. Shareholder funds increased to £710 million in the year with both qualifying capital and our reg cap requirement increasing, resulting in an estimated capital surplus of £270 million for the full year. The Board has declared a final dividend of 28.8p taking the full year to 41.5p higher than the 3% guided reflecting this year's positive financial performance. And looking forward, in terms of capital allocation, our priority continues to be ensuring the robust financial strength of the business and maintaining a meaningful capital surplus over the regulatory minimum. As a Board, we are discussing our go-forward approach to capital allocation, acknowledging the importance of shareholder return, and I look forward to sharing more details with you during the course of this year. So, looking forward, we expect FY '24 to be a year of continued asset mix shift and stabilizing NIM and are providing forward revenue guidance on each asset class, including active savings for the first time. With Dan's focus on Save to Grow, we will work to keep underlying cost growth down to between 9% and 11% given continued expectations of salary inflation and our expectation that the FSCS levy will return to normal reversing the FY '23 benefit. And as we accelerate strategic delivery, we expect the related OpEx spend to increase to between £35 million and £45 million in this year. Finally, we are raising our ordinary dividend guidance to an expectation of growth of at least 4% in FY '24. I'll now hand over to Ruchir to introduce himself to you all and to share his insight on growth and our client value proposition in particular.
Ruchir Rodrigues: Thank you, Amy, and good morning all. I'm Ruchir Rodrigues, Chief Client and Commercial Officer at HL and I'm looking forward to updating you on our strategic progress. As someone relatively new to HL, I thought it would be apt to share a little bit about my background and reflections thus far. With over 25 years of experience in different sectors, I was delighted to join HL last November to bring a strong digital focus and commercial rigor to the business. As a digital native, I appreciate the importance of tech and data to deliver client value and commercial growth. Before joining HL, I was at Barclays, where I helped them leap-frog the competition on digital and consequently driving commercial growth in their consumer business. On my reflections on HL; what impresses me is the client-first mindset. I know this is a cliche term, but walking into HL, one of the areas that first struck me was the quality of our help desk conversations. Conversations that surpassed the traditional contact center support and look to educate and build trust with our clients. This ethos of putting clients first is ingrained in the DNA of the business, it's not just lip service. So, when the Consumer Duty regulation came around asking firms on delivering good client outcomes, we already had a very strong position to deliver a robust Consumer Duty Framework on all dimensions. Secondly, it's the wealth of data. The signals from hundreds of millions of interactions drive client insights, which will help us provide the most relevant and tailored experience to all our clients, and then of course, it's a significant opportunity this presents for our future growth. However, I'll be the first to admit that there is a lot more ground to cover in becoming a truly experiential business and realize our full potential. This will be a key focus for me and the team. Now I'm conscious that in previous presentations we've talked about growth, being an important pillar of our strategy. But we've not spent time in explaining the client value proposition that drives it. In the upcoming section, I will take you through the details of exactly that. Our growth is underpinned by solving clients' needs, that is our starting point. So, the key elements of our value proposition are designed around the key needs of the client. Dan mentioned these earlier, build my confidence, make it easy, and give me a choice. Our client value proposition is anchored on four key elements, content, experience, product, as well as relevancy and personalization. Let's start with content, and Dan alluded to this earlier. There is a huge gap in the financial and investment awareness in the U.K. We continued to engage and educate our clients with every interaction. Our website articles for example are read by nearly 2 million unique visitors annually and our Better Investors Program continues to drive further in email engagement, but there is an opportunity to do more. For example, a family of four with two working adults has about £185,000 of annual tax shelters available, however, only 27% of clients are aware of pension tax breaks for their clients, for their children, or partners. Core improvement to our data analytics capabilities will only make it easier for us to deliver relevant and educational content. Next is experience, whether it's dealing with one share or managing a complete portfolio across multiple accounts, we will focus on delivering the best and the simplest experience to our clients in the channel they want to use. Through our app - through our app, web, and human touch points, we have an unrivaled scale in the D2C business. It's great to have such high client engagement, but our journey still needs to be improved. One example is the asset consolidation journey. We know that our clients have their assets dotted around, 40% of SIPP clients have pensions with other providers that they could transfer. So, by delivering on our commitment of a super-easy experience, we can be the single destination for all our clients' investment needs. Product, all clients, as clients we want options to align to our risk appetite and personal values. This is important, as there is no single choice for all clients. With over 14,000 investment options, HL has one of the broadest offers in the market and we will continue to evolve and add to it. We are constantly listening to our clients' investment needs, so in addition to third-party funds and shares, we delivered six new HL funds, which now have over £2.2 billion in assets under management. These included the U.S. fund, the U.K. Income Fund, and the four HL portfolio funds. Despite the challenging market conditions, our funds attracted significant flows. We're the only D2C platform to offer a Cash ISA proposition and we know that our clients are looking for competitive cash products, and hence we also launched a limited access Cash ISA in January with very compelling rates. The client need was evident as we've seen over 6X growth in AUA and the average amount added by our clients was twice the market average. And finally, last but not crucial component of the value proposition is relevancy and personalization. Companies that win will be the ones that are able to make that content, experience, and product relevant to their clients. With hundreds of millions of signals from all our touch points and by using modern sophisticated data science and analytical tools, we can convert those signals to meaningful and relevant experiences for our clients. And finally, you've probably noticed that I have not talked about price, the reason for that is because our clients, on the whole, don't talk about price either. Price is, of course, a consideration, but our clients focus on the overall value they're getting from us. For example, in addition to the broad choice of products, the experience, and the content that I just talked about, it's the expert research coverage on funds, the number one ranked investment app, no charge to hold funds, shares or investment trusts in our funds and share account, quality service through our help desk are just a few areas of value that our clients appreciate from us. Our commitment is and will always be to understand client needs and deliver value. As we step through the next few sections, I will demonstrate how the key components of our value proposition are already creating a compelling value for our clients. Let's start with an example from earlier this year, which Dan talked about, on gilts, on how relevant and tailored content was used to deliver better outcomes for the client and for HL. Now, we have a broad spectrum of clients with many high-value investors who have maxed out their ISA allowances and would benefit from investing in tax breaks. By monitoring client behavior and market trends, we identified gilts as a proposition for the high-value clients allowing them to get higher yields and invest tax efficiently. We recognize that most clients were not aware of this opportunity. So, we reacted quickly tailoring content to resonate with them and delivered HL articles designed to educate clients. We also reached out to the media, the likes of the FT, and others who ran the stories referencing the opportunity. As a result, clients benefited. Gilt trading volumes increased 9X and we helped twice the number of clients from the same period last year. As a business, these clients invested more than £400 million, far more than the single-digit millions that we got last year. Gilts is only one illustration how relevant content benefits clients and HL. We reacted quickly at the right - with the right tools to deliver strong outcomes. This will only grow as we build more content, more signals, and enhance our digital journeys. A clear example of how the broad range of product delivers value for both our clients and HL is the success of our Active Savings proposition. With the changing rate environment which we are all too familiar with these days, we know that clients are looking for cash as an investment tool, cash as an investment class, simple availability of tax shelters, and the ability to manage their portfolio in one place. We listen to our clients and we launch the limited access Cash ISA proposition, first of its kind in the D2C platform space. We increased the number of products and partner banks and also new - introduced the new Pay by Bank technology to streamline the payment experience and provide more choice for our clients. Last year, we said we were going to scale Active Savings. 2023 has been a stellar year with active savings adding over £3.2 billion in assets with the revenue margin in the second half of 15 bps and increasing. Our cash ISA proposition has seen over 6X growth since launching in January. Strategically, active savings is a key part of our value proposition. Clients want the choice of moving their cash between savings and investments on a single platform and us having our own in-house techs gives us the flexibility to - just to do just that. To put this in perspective, over £20 billion is held on platform by clients who also have active savings. The proposition is helping us to retain more clients. Our retention rate is 97% for clients with Active Savings alongside multiple investment products, but we're only scratching the surface as there is still a significant opportunity to grow with only 10% penetration in our existing client base. Active Savings is a great example of intimately understanding client need and demonstrating the ability to scale quickly to meet them. Let's talk a little bit more on experience. Now with my deep background in the D2C space, I understand that striking the right balance between the digital and the human touch points is not easy. But when done correctly, can yield much higher engagement, better client outcomes, increased retention, and lead to better product penetration. There isn't a one-size-fits-all solution but tech and data enables an efficient way of driving meaningful client outcomes across all segments. For the digital native clients, we see a much larger proportion of interactions on the app; 70% of all digital interactions are now on the app, despite only one-third of the functionality compared to the web. The gap and the opportunity is clear. Our app-first approach supporting mobile and tablet devices is starting to gain momentum. This year, we began testing the impact of relevancy with promotional banners and improvements to the new section. We've already seen 6X increase in views on HL articles. Additionally, mobile visits to HL articles now makes up 20% of all digital visits, which was only 4% last year. Post our launch late last year, we are scaling Pay by Bank, which utilizes open banking technology to enhance clients' experience via simple payment journey and instant settlement. Active Savings clients are the first beneficiaries with over 25% unprompted adoption. £400 million in payment value processed and a subsequent decrease in operating cost, but true win-win for our clients and for HL. Now we have a broad spectrum of clients and for clients who need the human support, we are investing to ensure that our colleagues have the best tools and capabilities to serve them. We have completed our health check and finance coach pilots. From the health check tool, we've taken the learnings and we are utilizing them for our new retirement journeys. For the financial coaching, the pilot results were very promising. We were oversubscribed for the pilots and 74% of - 75% of clients rated it very valuable and 35% of clients identified as having potential to invest more with HL. We are now moving to the next stage of testing the finance coach capability. Now, we have a broad base of clients and recognize that some of our clients would like to have full-blown advice conversations. We acknowledge that the advice business has not performed as would have hoped for over the past few years. So we brought in new leadership and the advisory team are taking steps to grow and improve the efficiency of the proposition. I'm also proud to announce that our Advisory group received the chartered status, one of the few firms to receive this high accreditation recognizing that the qualifications of our advisers. There is more to do and we're already seeing improvements with revenue per adviser increasing by 12% this year. Finally, everything I presented to you until now about delivering compelling value to clients is crucially dependent on our technology and data capabilities. For this section, I'm going to wear my tech hat, and I will provide you with transparency on our plans and progress thus far. Through our strategy, we've always emphasized that the digital backbone is a key pillar, not just to give us operating leverage, but also differentiation. Over the last few years, we've been doing our groundwork on key parts of our stack. Infrastructure business automation and transaction processing are the foundation of our tech that allows us to deliver on-demand scalable and secure services. We are using best-of-breed services like AWS, Amazon Connect, and Salesforce with a focus on efficiency, eventually leading to lower cost-to-serve. The top two sections are where we will differentiate and provide superior value to our clients. The relevancy engine enables to deliver tailored prompts, insights and recommendations utilizing vast amount of data and best-in-class data science and AI tooling. The capabilities of client experience will take our offering to a different level enabling us to truly be multi-channel and available when the clients need us providing a personal touch for every interaction. Together, these will drive higher satisfaction, our growth through cross-selling opportunities and through having the most relevant interactions with our clients. Now as I conclude my section of the presentation, I hope I was able to bring to life the components of our client value proposition and I'm also hoping you got a better transparency and understanding of the progress on our digital capability stack. It is clear that the opportunity is large. But is not lost on us that there is a lot more work to be done. I am, and I know that the team at HL is truly excited to be a part of this journey. I will now hand back to Dan to add his closing remarks. Dan.
Dan Olley: Thank you, Ruchir. Thank you, Ruchir and Amy. So, let me finish with a brief summary before opening up for questions. There is no doubt we are in an uncertain economic background, with the ongoing geopolitical tensions, the upcoming elections, stubborn inflation, and a continued cost-of-living crunch, it is tough out there for many of the people that we are also asking to save and invest, but help them save and invest be must, I'm definitely not expecting the world to get rosy anytime soon, but in the medium term, we are in a growing market. We understand what our clients want and need from us, we have the right strategy and we have the right areas of focus to deliver it. So there's plenty, we can be getting on with both to serve our clients even better and to make ourselves better and leaner as a business. My job now is to ensure we are focused on the right things, the things that really matter to ensure we execute faster and better to seize the opportunities for growth. So, in summary, this is a great business with enormous potential. We know what our challenges are. Many of you have told us what our challenges are, my role now is to execute the strategy, unlocking the potential within HL and ultimately delivering an attractive earnings growth and returns for shareholders. Thank you all for staying so patiently over the last 45 or 48 minutes, I understand this presentation is longer than normal, but hopefully you found it useful and interesting, especially with the Ruchir and I being relatively new to the organization. I look forward to telling you more when we meet again in February. And with that, we'd be happy to take your questions. Thank you.
Operator: [Operator Instructions]
Rhea Shah: Hi. Thanks, Rhea Shah, Deutsche Bank. And welcome Dan and Ruchir as well. Three questions from me. So, the first is, can you provide...?
Amy Stirling: Sorry. I think we're going to end up with quite a few questions. So maybe if you could keep it to two, and then if we've got time, we can sweep up your third, is that all right?
Rhea Shah: Yes. That's fine, thank you. So two questions from me. So, the first one is around the FCA's operational resilience review. I think you mentioned that in the statement today. Could you just provide some color on it? And any changes you're making to it, which could have financial impacts on the business. And then secondly around the dividend per share growth, you stated that you expect it to be at least 4% in full year '24. Why is this not based on a dividend per share payout policy, and its growth rate instead, and you say it's because of market conditions, Group growth investment, and regulatory capital requirements, which of those is providing the biggest constraint compared to dividend payout policy instead?
Amy Stirling: Thanks, Rhea. So, first one on resilience, very clear plan of action for us. So, no fundamental problems in the business at all, but as we talked about a big part of our focus in our investment is on modernizing our technology that allows us to take costs out of the business. So, the cost of all of that work is included firmly within our £175 million. And on your second question regarding dividend per share, great question around payout versus growth. The reason we've done that is, because we are investing in the business through to FY '26, and the level of investment that will go through the P&L will vary year-on-year. So, if we apply the payout ratio we might see volatility in that. So, rather than see that volatility we've decided that is helpful. We think we hope to give a clearer guidance on growth given the earnings will move up and down impacted by the level of statutory, sorry, the level of strategic OpEx. In terms of your question on constrained, I think the right way to think about that is the level of investment that we're making in the business. So, it's not a constraint per se, but it's absolutely a priority for us over the course of through to FY '26. And as I said in my presentation, we will be talking more about plans for capital allocation more broadly as we go through the course of the year.
Andrew Lowe: Hi, thanks. It's Andrew Lowe from Citi. Just a question on the cash balance outlook. A clarification, I think you said you expect this to be in historical range, so do we assume that the lower bound that you're expecting is 8%. And then on a related note, how do you expect the cash behavior to change in your ISA product as you increase or reduce the frictions with the Cash ISA offering to enable greater switching. So do you think you will see a greater share, greater pace of decline in ISAs versus your SIPP products or dealing accounts for example? Thank you.
Amy Stirling: So, first off to your question about the lower bound or where we think we'll end up. Yes, I mean that's why we've given you that context. So, we've looked back, on my slide I think we went back to 2011, but actually we've looked back as far as our records go, and so within that context, 8% of AUA is the lowest that we've seen, the level of cash held in investment accounts. So, trying to just give that little bit of context there. In terms of change in ISA products, and ISA behavior, I'll get Ruchir to give you his thoughts, but overall, the way that we think about it, our job is to make sure that clients have got the broadest range, and the broadest access. So, if Cash ISA is right for clients, we want them to be able to do that with us. We don't want them to need to take money off the platform, so that they can take advantage of Cash ISA elsewhere. And that's why when we saw in a changing client behavior, and that sort of demand, we prioritized that to the top of our development stack. Ruchir, is there anything else you want to add…?
Ruchir Rodrigues: I mean what you said exactly is all based on client need. I think like I mentioned earlier, having it on-platform is better than taking it off and taking it to another platform. So, that's going to be key for us as well from a business standpoint.
Enrico Bolzoni: Hi, good morning, thanks. Enrico Bolzoni, JPMorgan. Just a couple of questions; one, you mentioned that you aim to accelerate on execution of the plan. I just wanted to get some color in terms of what this could mean for the targets of the business. Is there - do you see upside risk in terms of delivering the cost savings maybe a bit faster than what you're guiding, or are you looking beyond that and do you still think that - sorry you think you can potentially achieve a bit more? And the second question is on the NPS. Clearly, you say you want to improve it, can you just give us an idea of how much of that can be achieved with hiring new staff, so people that can better serve clients over the phone, and how much of that can be achieved via technology in practical terms? Thanks.
Dan Olley: Yes, if I take the acceleration and maybe handover to a Ruchir for the NPS, look, it's about accelerating agility as well. So, I don't think that accelerating our pace will necessarily change any of the ongoing guidance. What it will do, as Ruchir said, is allow us to be much more responsive to the market and client needs as we're driving that forward. So, that's really what I'm looking to drive. Ruchir, do you want to touch on NPS?
Ruchir Rodrigues: Yes, of course, I mean on NPS, I mean key focus for us across all touch points. We did see a decline a little bit on service, but we introduced things like call back functionality, which we saw positive NPS shift by about nine points from previous years. That is going to be a key focus for us in NPS. So, again to the points I've made in the presentation and Dan alluded to, it's always going to be about driving relevancy, and then making sure NPS goes up.
Gregory Simpson: Hi, good morning. It's Greg Simpson from BNP Paribas Exane. Thanks for the presentation. And first one would be, could you share some thoughts on the impact of the price changes you made on the Junior and Lifetime ISA accounts, quite big cuts, any impact on flows or market share would be - interesting. And then secondly on the - on Active Savings, could you share the kind of mix of flows between what is new clients, existing clients putting new money in, and existing clients taking and shifting money from existing cash on the platform? How is that developing? Thank you.
Amy Stirling: So, if I take the impact on price changes in flows just from an overall perspective, and then Ruchir could give a little bit more context from a volume perspective. So, I think as we said at the time, pretty modest impacts on revenue overall, albeit hopefully significant value for our clients, and that's the rationale for what we're looking to achieve there.
Ruchir Rodrigues: Yes. I mean just to add to Amy's point, I think when we launched the JISA and LISA changes, it was I think March of last year. I think the key focus for us has always been more of a long-term view, because we did see the impact of cost of living inflation. And the cohorts of clients who are really getting impacted were the younger segments and there was an opportunity for the high-value client segments to move money to them either through a JISA or LISA. And in fact, when we launched we've seen, to Amy's point, we did see an increase in the number of flows from last year to this year. So over a two-month period, on the JISA, we saw about an 8% growth in net new business, on the LISA, we saw about a 9.5% increase in net new business. What was interesting as well is that we do see always that after opening a JISA account, we do see an adult account being opened. So, we saw flows of about 38% higher on the adult accounts as well coming in. Again going back, it's really the focus on helping clients from an inter-generational wealth perspective move money and we do see that these clients stay for the long-term. So, after the JISA, we see that we are hoping that these clients will stay with HL, LISAs either they can use it for their -- you know, they're buying their homes, or they can put in the SIPP as they move along.
Amy Stirling: And then on your question regarding the mix of flows on Active Savings, actually pretty resilient mix. So, consistently it's about 25% of flow from cash held in investment accounts into Active Savings, we've talked about that a couple of times now. And then new money coming onto the platform with a sort of two-thirds, one-thirds split, two-thirds new money existing clients, and one-third coming from clients new to HL. So, we haven't seen a - interesting, we haven't seen a shift in that mix.
Alex Medhurst: Hi, there. Alex Medhurst, Barclays. Thanks for the questions. Just a couple of clarifications. Firstly, the HL fund margin is obviously tracking higher than maybe we were expecting post-CMD. Can you talk a little bit about the phasing of margin attrition specifically, can you give a progress update on the various fund launches and the pipeline there, in particular any points at which particularly low-charge fund products might launch? And secondly, if I heard right, Ruchir, you said the app currently has about 30% of the website functionality, is that - is that right? And if so, can you give a timeline over which you expect that gap to close and what your ambitions are there? Thank you.
Amy Stirling: So, if I take the HLFM margin point. Again, it's about mix. So, as you know, the newer funds that we're launching that Ruchir referred to have a very different pricing structure versus our legacy multi-manager funds. And we are pleased given very challenging backdrop for funds, flows that everyone is seeing across the market, that it is generating positive flow. So, at the Capital Markets Day, I think we said over time, we'd expect the HLFM margins to head towards 45 and we're guiding 55 to 60 for the year ahead. So it is modestly ticking down, but, you know, as we blend the margin reduction with hopefully the continual increase in AUM, then we expect to see that generating incremental revenue. So, I don't have a crystal ball, I can't forecast for you the mix that we will see between the different types of funds. But very much expecting that to be the direction of travel or be over probably much longer timeframe in the past we envisaged pre the Ukraine war.
Ruchir Rodrigues: And then your question on app, absolutely right, in terms of engagement, clearly high engagement. Now, again, it's a very - it's a moving target because client needs change. But if I look at the base functionality, things like account openings still doesn't exist on the app. So, that's going to be kind of a key focus for us. Things like transfer journeys where we are going to make it simple for clients to move money and consolidate assets is going to be key for us. So, I think we're going to also create an experience that we can easily take to the web. If I think of how modern technology helps us these days, if you build on app doesn't mean that we have to rebuild on web. So, once we build on the small screen, it can be easily taken to the big screen as well. So, we look at it in the whole, I'm hoping that in the next, I would say two years, we can get the base level functionality where we think on-boarding and account opening, we can get in there. We will be launching some new services, so stay tuned on the app, that's going be a big focus for us moving forward.
Andrew Crean: Good morning. It's Andrew Crean with Autonomous. Can you tell us what's left of the CMD targets? I mean Dan you were on the Board, but not in Executive role then, what is left of the fund flow targets, the client ambition, augmented advice in other words. Could you perhaps talk about that and if you are walking away from what you're walking towards? And then secondly, given the amount of charge back functionality on wider products, more functionality and better service, why is the persistency is still at 92% and not going upwards and does that suggest that perhaps the other side of that coin is that you're losing to lower price D2C platforms, while it's a good service offer, it may not be the best priced.
Amy Stirling: So, Andrew, if I take your first point regarding Capital Markets Day. I think it's fair to say, our timing wasn't ideal in that we talked to the market two days before the Ukraine war kicked off and markets suddenly took a very different turn to I think what we do become quite accustomed to. So, you've heard us talk over the course of the last year or so about our direction of travel. So, do we think the business has the opportunity to grow significantly, yes, absolutely we do. Do we expect to see modest margin compression from a revenue point of view? Yes, absolutely, we do, albeit, against a very different interest rate backdrop. And do we expect to see our cost to serve come down over time? Yes, absolutely, we do. So our direction of travel firmly sets our strategy the right one. But we don't control the timing and execution of the markets. So we're very focused on delivery and execution and hopefully what we'll try to do today is to demonstrate the progress that we're making against the items that are within our control and very focused on execution and delivery.
Andrew Crean: [technical difficulty]
Amy Stirling: So, you should take that in the context in which I've said. So, all of those targets around growth, around revenue, and the direction of travel there and around our ultimate operating margin, very much our focus. But clearly, given a very different economic backdrop and a very different market backdrop that's not something that we expect to see within the time frame that was given at the Capital Markets Day. So on to your second question, and forgive me if I've misunderstood, Andrew, and I am sure you'll correct me, you were highlighting and asking about our retention at 92%. I think as you know, our calculation and basis on retention does have a higher floor than many of our competitors. So, on a like-for-like basis, I think you'd see us seeing around 95%, which we think considering the market backdrop is actually a pretty good reflection of the value that we give our clients. You've heard Ruchir talk about our client value proposition, which is based on what our clients tell us that they want from us, so - and reference the fact that we don't hear a lot from our clients about price and that's because they value the whole proposition that we offer them.
Dan Olley: So, I'll take augmented and Andrew I'm really glad you said augmented rather than augmented advice, because the way I always saw this was if you look back to Ruchir's slide, where we showed that relevancy and personalization platform underpinning every single digital journey and human interaction. That's what augmented is about, it is augmenting everything we do with relevancy and personalization. So, taking those signals in from every single interaction, understanding our clients through our help desk and maybe our advice proposition or what they're doing digitally, and using that to enhance the experience over time. So, that is a really important part of our strategy still, but that's how it fits in. Does that make sense?
Charles Bendit: Thank you. Charles Bendit from Redburn Atlantic. Two questions from me if I may. First, would you mind giving us your initial high-level thoughts on the D2C platform market and HL's competitive positioning and how you view the current pricing architecture in that context? And then the second question, just a follow-up on augmented, is there an incremental revenue opportunity there, or is that ambition really just to make HL better platform versus the peer group? Thanks.
Amy Stirling: So, shall I comment on your first question regarding the platform market, and then Dan you want to pick up?
Dan Olley: I'm happy - platform market and then I'll hand back. The first thing I would say is growing market, lots to go after. And I really focus always on what do our clients need, if we serve that well, the rest normally follows. So personally, I'm really obsessing on what have we got to do to delight our clients. If I'm forced to think about the competitors, and we do give some thought to that, I think the ones that I would be most concerned about it would be the big U.S. banks, because they got such deep pockets coming in. But I'm not sure and we don't hear, and I actually - I've spoken to between 50 and 100 people coming in and who have said that are Hargreaves Lansdown clients. One of them mentioned price to me, in all of those people, so that's not to say price isn't important, but I think really getting that service right, really helping our clients is what I focus on. Does that answer your question?
Amy Stirling: And then, Charles your second question regarding what was called augmented, which we're now talking about as relevance and personalization for our clients across the spectrum. Is it about incremental or is it about at a platform? I'd say it's both because one leads to the other. So I think as Ruchir set out, as we look at and get much more focused on each and every client, each and every segment, and understand how they want to engage with us, how we can help them build their confidence that will build increased loyalty, it will drive flow onto the platform. And, as a result, that will bring value for, hopefully, our clients, but also us as part of that. We talked about our advice business, it's a pretty modest part of our portfolio, out of our 1.8 million clients only 10,000 have taken advice from us. So, there's a real opportunity there for those clients for whom it's relevant, and for those clients for whom that's what they are looking for, whether it's one-off as a result of a life event or a moment in time for us to be able to help them through advice. But this isn't about reinventing ourselves as an advice business, it's about where it's relevant for our clients, and where that's what they want from us being able to be there.
Justin Bates: Good morning. It's Justin Bates at Canaccord. Just a very quick question seeking clarification on something, please. The net interest income, the 200 bps versus the 218 bps in H2, is the 200 an absolute ceiling or is this an estimate?
Amy Stirling: Yes. So over the course of the year, we would expect to be within that range. Obviously, given where we are at the moment, our last rate change for clients was on September 10. So there is a bit of a lag effect in seeing the impact of that pass-through in our margins. So, firmly expect to be within that range, will be at - will be right at the top at the beginning of the year as that pass-through starts to pick up.
Justin Bates: Thank you.
Mark James: Thank you. It's Mark James from Investec. A question, I think, for Dan and the focus on the customer is really clear and you're surrounded by data and KPIs, you know, you could measure and monitor and we've seen a lot of them and we've heard a lot of them today. What are the four or five that you're focused on, I have no doubt that Ruchir has got a gazillion data points that he could provide you with, to avoid being swamped with that, what are the things that quantifiable you focus on, four or five?
Dan Olley: Yes. So, the leading indicators around client are NPS, for me it's NPS and really driving that up and being very disciplined in how we measure it. That's something that, I had a [indiscernible] something we put into [indiscernible], something we will to look to make even better here, I'd say, and that's a really good leading indicator on net new business if you have been looking in the rearview mirror. I'm a big believer in happy colleagues equals happy clients. So, some of the metrics we talked about internally, making sure that we are the best place for people to build their careers, that's a key one for me. And then we get into some of the more financial metrics that we've covered, but to me is that client sentiment towards us is absolutely critical. The other one that I was really pleased about was trust, so seeing the Boring Money results come out actually Ruchir shared with me Newsweek - recent Newsweek survey on global businesses, if we look to financial services, we actually came out as the number two trusted financial services brand in the U.K., which was really pleasing. So that trust metric really is an important one to me too.
Mark James: Thank you.
Haley Tam: Hi, it's Haley Tam. A couple of questions from me please. Can I just follow up on Andrew's question about the client retention rate versus the asset retention rate. I think the gap there has widened, I think you're pretty close 92% or 91.8% and now it's big, almost 2% GAAP. Can you clarify for us whether that does mean higher value clients withdrawing and given your responsiveness to client needs, what do you plan to do about it? And then the second question is multipart not to disappoint you, the FCA Consumer Duty program, you've been really clear you've concluded that you're offering, good client outcomes. And I think Ruchir was very clear on Slide 19 about what you're offering. Can I ask you two simple questions then; firstly, how often will you review the consumer Duty outcomes, and secondly if I think about your LISA and your JISA fees being lower and zero, how should I think about that compared to your general ISA fees under a Consumer Duty Framework. Thank you.
Amy Stirling: That's many, many questions. I'll start out with your question on retention. So, it's not surprising given we talked about for certain cohorts of our clients needing to take money off the platform in order to meet their financial needs given the economic backdrop, that's not a surprise and that's not specific to HL. We're seeing that across the sector. And that's what's driving the gap between our asset retention rate and our client retention rate. So, you know, to look at the other side of that actually and give it another context, we're seeing the same number of clients, putting money in through regular savings which is great, but the amount that they're putting in is coming down. So, I think it's a - and we watch both very closely as you'd imagine, but really we are seeing that impact for certain cohorts of our clients. Then I think you asked about six questions on Consumer Duty. So, we'll - we will try and address them in turn. So first off, how often do we review it? Well, I think as we tried to demonstrate, we've always been looking at client outcomes. So, Consumer Duty isn't suddenly something that we're starting to do within the business, it's very much a part of our operations and we've spent as you probably expect, quite a decent amount of time with the FCA talking them through how we're approaching Consumer Duty that given our scale in the U.K. markets, we've got an important role to play, I think in helping them understand how it's playing out in real life in businesses. So, doing quite a lot of work that clearly we have our annual attestation that we need to make from a Board point of view, but it's just part of the way that we operate and has been for a while. So, hasn't really generated a materially different way of assessing outcomes from a client point of view. Your question about junior ISA, and lifetime ISA fees, clearly Consumer Duty requires us to look across the piece at all of our products and services and so when we're thinking about value that we give our clients, specifically through the price and value framework, then we're thinking about the breadth of services and investments that are available, we're looking at our discounts on funds that you're able to access, we're looking at the extent of content and research that's available on the platform. You know, Gilts is a good example of that. We're looking at the help desk offerings. So, over tax year end, we saw a significant increase in cool time from our clients, because the changing backdrop, the changing landscape, the changes lifetime allowances, it's really confusing and clients know that we understand and can help them navigate their way through that. So, part of our Consumer Duty assessment is thinking about the value that clients put behind, they're able to pick up the phone and talk to someone they might have to wait a little bit longer at tax year-end, but being able to pick up the phone and talk to someone that really understands it, not giving them advice, but giving really clear helpful support about how to understand the changes in opportunity. So, also in Active Savings, part of our proposition, you don't have to pay for it. There's no cost associated with it, but it provides real value for clients who are looking. So, that's how we've assessed it. So try and bring that to life a little bit for you. But, you know, overall, it's part of what we do. It's always been part of what we do, it perhaps gives us a more structured framework through which we look at it, as we've said it's not driving fundamental differences for the business.
Ben Bathurst: Hi, it's Ben Bathurst from RBC. I've got two questions if I may. Slightly on organic growth, just given the comments about investor confidence, why it, sort of, stayed at the same place that is for the rest of the year, at this stage is it fair to say your expectations are for sort of similar flow out turn for FY '24 as we saw in FY '23 and also similar mix within that. And secondly on Active Savings, what proportion of the Active Savings accounts is typically sitting as uninvested within your cash hub. And what proportion of the margin that you're generating from Active Savings is typically coming from that uninvested cash? Thank you.
Amy Stirling: So, yes, is the answer to your first question about what are we expecting to see in terms of flow, shape, and mix for the year ahead. Obviously, no crystal balls, but given from an investor confidence point of view, I think our latest investor confidence survey showed, you know, we're still in a pretty low place in the '70s and for us, we expect to be in the 100s, before we see meaningful shift in investor appetite for investments. So, not expecting to see much difference in the course of the year. On Active Savings, I just want to make sure I've understood your question correctly. So it's a hub split, so clearly clients don't spend that much time in the hub, and we proactively communicate to clients that whilst money is in the hub, it's not earning interest. So, big part of what we do is reminding clients that they need to be placing that cash. Either moving it into the fund and share accounts, they want to invest or placing on deposit with one of our broad range of providers. So, we don't split out the margin difference between what we're earning on the hub, and what we're earning through commercial agreements, but I think fair to say that we're making progress on both.
Ruchir Rodrigues: Can I just add….
Amy Stirling: Yes.
Ruchir Rodrigues: Just a few things maybe - and the mix also is on types of products, and the partnerships we've had over time. What we are seeing also, which is encouraging that the actual margins on the newer products, and the newer partners is much higher than before. So, what you'll see is that there the mix is going to go higher, which we're already seeing, and that's what I was talking about earlier, because we are having the new partnerships, and the new products.
Operator: [Technical Difficulty] If we take one in the room, while we're waiting, so...
Andrew Lowe: Hi, thanks. It's Andy, again from Citi. Just a quick clarification I guess on Consumer Duty. And if you look at the example of someone renegotiating their Sky [ph] contract so forgive me for going bit lesser of this, if you call up and say, my Sky contract has gone up. What can you do, I'm going to leave to go to a competitor. Can you do anything on price? What are the implications for Consumer Duty in terms of - charging customers the same, so in that situation, if Sky was a financially regulated company, would they be able to do that?
Amy Stirling: So, I don't think we're here to talk about Sky's business model, and comment theoretically on if Sky was subject to Consumer Duty, what would, their response be. But, I think what we've tried to demonstrate today, is to help you understand how we've gone about thinking about Consumer Duty. It's not new for us, the granularity that we've gone into across all of our products and services. We look at all the different dimensions of value that, we offer clients. So that's the basis on which we made our assessment, that's the basis on which we're encouraged to do that by the FCA. So, I can't help you with your Sky theoretical question.
Andrew Lowe: Okay. Might [ph] as well thanks. Are you able to charge different prices for the same customer, for the same service under Consumer Duty?
Amy Stirling: So already, when you look at our platform fee, the platform fee is graded according to the level of assets that you've got on the platform. So that's always been a part of our business model, and we expect that to continue under Consumer Duty.
Andrew Lowe: Thanks.
Amy Stirling: Are we done?
Dan Olley: Can we try with the phone?
Operator: We have a question from Bruce Hamilton with Morgan Stanley. Your line is open.
Bruce Hamilton: Hi, good morning, and thanks for taking my question, and for the - presentation. On - so two questions. Firstly on NIM, I guess your guidance implies that as rates start to come down, you won't be passing back more to clients, but I just wondering, wouldn't that attract regulatory scrutiny or at a minimum when the regulator wants you to sort of advertise more vocally the opportunity from Active Savings for those clients? So how should we think about that? And then secondly, I mean I hear you that obviously service is important, it's not all about price, but then - your recent actions cutting prices on Junior ISA, Lifetime ISA, Hargreaves funds certainly suggest that the price matters quite a bit. So, as we think about, margins beyond '24, should we see that they continually drift, because you'll keep tweaking and is that '24 guidance assuming further price adjustments for the parts of your service? Thank you.
Amy Stirling: Thanks, Bruce. So, first question on NIM and pass-through, what we said is, as and when rates turn, then we'd expect to do broadly the same as you've seen us do up till now. And could - should that mean that we encourage clients to Active Savings. We do that anyway, we do that now. So, for clients that are looking to earn higher rates, because they see cash now as an investment class that's what Active Savings is all about. And so, we're very front efforts in encouraging all our clients, but particularly those who are holding meaningful amounts of cash to be thinking about why, and that's why Active Savings is an important part of our proposition. So, I'm not sure, we can could do more to talk to our clients about Active Savings but we'll take that - we'll take that challenge, but it's always been a part of our business model. Our job is to make sure that we've got all the right products, and services for our clients. So that they can choose what suits them at any particular point in the cycle, and based on their financial needs. So, that's why Active Savings is really important part of the proposition. In terms of your question on pricing, I think we've covered that in a few of the questions this morning. So, we've said over time, we're a platform business and in this market, we expect to see continued albeit modest price compression going forward. That's why it's really important that we do and are very focused on the cost efficiency of the business, so that we can make sure that our margins into the future are sustainable. So, the changes that we made on junior ISA and the Lifetime ISA were client need-driven. So, for us looking at multi-generational families that we've got on the platform, thinking about the economic backdrop, and clients not feeling that confident about investing, but the one thing they are confident in doing is starting their children or their grandchildren on that investing journey, because of the power of compounding. So for us, it was about doing something at the right time in the market to encourage investing for the long-term. And you know timing on that, we did that around tax year end, and we got a huge amount of marketing benefit as a result of being able to talk about investing for your future, and wealth generation through the families. So, that's how we're thinking about pricing and you should expect us to be doing things around the edges as we go forward. Because we're always thinking about what's right for our clients, how they tell us what they're interested in, in terms of their financial outcomes, and that's what drives our approach.
Ruchir Rodrigues: If I can just add a couple of comments. I think on the Junior ISA and LISA, I think the starting point was looking at data on clients and what they were doing with the money. And like I said earlier, we did see our lower, younger segments taking more cash out, and we felt that was the right thing to do at that point. So, I think, just want to reinforce the point that the starting is not about reacting to price changes in the market, it is always about starting with the client need, and that's exactly what we did.
Bruce Hamilton: Go it, helpful. Thank you.
Amy Stirling: I think we're done. Thank you very much indeed.
Dan Olley: Yes. Thank you.
Ruchir Rodrigues: Thank you.